Eva Kienle: Good morning, ladies and gentlemen, here from rainy Frankfurt. I warmly welcome you to our KWS conference call on the publication of our figures for the fiscal year 2023-'24 today. So as you have seen, we can look back on another very successful fiscal year with a very strong operating performance and important strategic decisions for KWS. We once again achieved double-digit growth in sales and earnings in relation to our continuing operations, thanks to an extremely strong year in the Sugarbeet business. Based on this strong performance, we propose to increase the dividend to EUR 1 per share as part of our dividend policy. Last year's notable operating successes include the expansion of our leading position in the global market for sugarbeet seed with a market share of around 70%. Our sustainable product innovations, CONVISO SMART and CR+ made a significant contribution to this. KWS' performance in terms of regulatory approvals of new varieties, which reached a record level in the past fiscal year and significantly strengthened our product pipeline for future growth is equally important. In strategic terms, the past fiscal year was also characterized by significant changes. We sold our corn business in China and South America and thus focused KWS on more profitable growth. And at the same time, the cash proceeds from the divestments have significantly improved our financial position by now. Those changes have given KWS a strong and confident outlook on the future. But let's first take a look at some details of the past fiscal year in relation to the continuing operations. First of all, the strong sales growth of around 12% deserves to be highlighted. Excluding negative currency effects, the increase in sales would have been as high as 16.5%. This improvement was mainly driven by the strength of our innovative product portfolio, which led to a significant product mix effect and price increases during the past season. With a 5-year CAGR of around about 10%, we have grown very strongly in terms of sales over recent years as confirmation of our strategic focus and the intensity of our R&D activities. Considering the positive one-off effect from the sale of our Chinese corn business in an amount of around EUR 28 million and the significant expansion of business, we recorded disproportionately high increases in the operating earnings figures of 40% for EBITDA and plus 55% even for EBIT. Accordingly, our EBIT margin also improved significantly to 18%. We are committed to research and development. At 19.4%, the R&D ratio remained at a high level. We have spent around EUR 26 million or around 9% more to develop future innovations than the year before. The financial result, on the other hand, was significantly lower than the previous year due to the 2 following effects: Firstly, and unfortunately, we again recorded a negative contribution to earnings from our joint venture, AgReliant for corn in North America. And secondly, increased interest expenses led to a lower interest result. However, looking forward, we expect the financial result to improve significantly again due to deleveraging of around EUR 140 million in debt. As a result of higher earnings, our income taxes also increased with a tax rate of around 27% being slightly higher than the previous year, in particular, due to the increased profit share in countries with higher taxation. Earnings after taxes and earnings per share from continuing operations rose by 48%. If the result from discontinued operations is taken into account, the increase in net income is just 3%. At around EUR 57 million, free cash flow was only slightly higher than the previous year. This was mainly due to the significant increase in capital expenditures, which I will come back to in more detail later and a growth-related increase in net working capital. Based on the very positive operating performance, the Management Board and the Supervisory Board have decided to propose a higher dividend of EUR 1 to the Annual General Meeting in December this year. This means that we are not only at the upper end of our payout ratio of 20% to 25% of net profit, but we have also increased the dividend by 50% in the last 5 years. Let's now turn to the individual product segments, starting with our flagship sugarbeet. With a 21% increase in sales and a slight overall increase in acreage, we have once again underpinned our global market-leading position in this area. This development is closely linked to the success of our sustainable innovations, CONVISO SMART and Cercospora CR+, which now account for over half of our total sugarbeet sales. The positive business development was also reflected in the EBIT, where earnings rose significantly from EUR 253 million to EUR 350 million. This corresponds to a further increase in the operating result and an outstanding EBIT margin of around 40%. For the new fiscal year, we expect the segment to achieve further sales growth while maintaining stable, very high profitability. The introduction of new varieties that combine both qualities of CONVISO SMART and CR+ technologies should contribute to this. Farmers will no longer have to choose between one or the other of the technologies, but will also be able to benefit from the advantages of both approaches. This new super variety has already been approved in several markets, and we are preparing for the rollout in a total of 13 countries in the coming season. Let's now turn to corn. Sales in the corn segment, excluding the South American businesses that we sold, fell by 5% adjusted for currency effects, the decline was around 1%. In Europe, business was slightly positive in operating terms, while our North American joint venture, AgReliant, again recorded a decline in sales. As announced at the end of March, we are examining the strategic options for our stake in this joint venture, and this process is still ongoing. The results in the corn segment increased significantly from EUR 19 million to EUR 39 million due to the positive one-off effect of around EUR 28 million from the sale of our China corn business. In operating terms, however, we recorded a decline in earnings, in particular due to the negative one-off effects at the joint venture AgReliant in the U.S. In the coming fiscal year, we anticipate a slight increase in sales for the corn segment. We also aim to achieve an EBIT margin on par with the previous year, including the China effect and thus improves the profitability of our operating business. Now let's have a look at the Cereal segment, which already generates the majority of business and results in the first half of the fiscal year that is up to December. We recorded a strong increase of 12% compared to the previous year. Main growth driver was once again our rapeseed business followed by rye and wheat. The segment's very positive business performance is also reflected in our earnings figures. We achieved a segment result of EUR 50 million, a significant increase compared to the previous fiscal year, driven by price effects and an improved product mix. In the new fiscal year, we anticipate a significant decline in sales and earnings for the cereal segment. Main reason for this is the introduction of import products for the Russian market, which will lead in this segment a significant decline and sales around EUR 22 million in the previous years in Russia in the current fiscal -- the previous fiscal year. For our other main cereals market, though, we are expecting stable or slightly higher sales. The vegetable segment now is here -- our sales declined as expected in particular due to lower sales of spinach to China. The EBIT of minus EUR 35 million was much lower than the previous year, which is due to lower earnings contributions from operating business, but also the planned higher expenses for the expansion of our breeding business activities and an increased amortization of intangible assets from the Pop Vriend Seeds acquisition. The amortization here rose to a total of around EUR 19 million after around EUR 11 million in the prior years, mainly due to partial write-off of the Pop Vriend brand value as part of the change in brand strategy to the KWS brand. It's planned to write off the remaining part of the Pop Vriend brand value of around EUR 7 million in the first quarter of this current fiscal year. In the past fiscal year, the focus was again on expanding our breeding infrastructure and capabilities. We have now established breeding units in Italy, Spain, Turkey, Mexico and Brazil, which are driving forward our breeding programs and developing new varieties. In terms of our strategic goals and milestones, we are right on schedule. For the new fiscal year, we expect a trend reversal towards growth in the vegetable segment. We want to grow spinach in particular and increase the earnings contributions from our existing business again. However, taking into account the further increase in expenses for the expansion of the segment and the aforementioned amortization from purchase price allocation, the segment's EBIT will remain negative as planned. Let's now have a look at the investments of last year, which increased to around EUR 140 million, but should return to a lower level again in the coming years. In all segments, we invested more than in the previous year, particularly in the modernization and expansion of production facilities and in the construction and expansion of breeding stations with a focus on Europe. And give me one example here of the largest investment project in the Sugarbeet segment. That is now the termination of the construction works on the KWS Elitespeicher in Einbeck. That's our treasure trove of the breeding work. The Elitespeicher, which had to be built due to the strong expansion in sugarbeet activities, is used to process and store all of KWS breeding material. In total, 1.3 million different small batches of beet, oil seed and catch crop seeds are stored here. And this is the basis for breeding new varieties, preparing official variety trials and for seed multiplication. When planning the new Elitespeicher, we have attached really great importance to sustainability, both in terms of construction and energy supply. For example, waste heat from a nearby sewage treatment plant is used to supply heat. Sustainable electricity is supplied by photovoltaic modules on the roof of the building. The elite storage facility is therefore in line with our climate targets of reducing Scope 1 and Scope 2 emissions by 50% by 2030 and to net 0 by 2050. The construction of the Elitespeicher is now largely complete, and it's gradually being put into operation. Let's now turn to another topic, namely the refocusing of our corn segment. In the past fiscal year, we successfully sold our corn activities in China and South America. The latter transaction was closed at the beginning of the current fiscal year. As already communicated, we have realized a mid-triple-digit million euro amount for the South American business, which will lead to an extraordinary profit of around EUR 100 million after taxes in the current fiscal year '24/'25. At the same time, we are thus gearing KWS towards more profitable growth and significantly strengthening our financial power. As I already mentioned, we have used the proceeds primarily to reduce our debt. In addition, we repaid a large tranche of the 2019 promissory note loan in the amount of EUR 143 million at the beginning of September instead of refinancing it. As a result of this and the Brazilian loan exits, KWS has reduced its debt by over EUR 300 million within a very short period of time and significantly improved its financial leverage, which will have a clearly positive impact on our future financial ratios. Our debt maturities have clearly improved, and the next major refinancing is only due in about 2 years. Let's now take a brief look at the results of our sustainability reporting for the past fiscal year, which we have further expanded. As you probably are aware, we formulated a number of targets in the areas of product impact and corporate responsibility in the context of our sustainability and Vision 2030. In terms of product-related topics, I would particularly like to highlight the progress made in the area of low input varieties, which provide farmers with sustainable solutions for saving on fertilizers or pesticides for example, and at the same time are associated with economic benefits in which we, as seed breeders, also participate through price premiums. During the last fiscal year, we were able to double the share of low input varieties to about 19% from 9% the year before. With regard to corporate responsibility targets, we are reporting a key figure for employee engagement for the first time this year, which will enable us to make improvements in this area more visible and to position KWS as an attractive employer. Also important here, we have made significant progress with regard to our Scope 1 and Scope 2 emissions, which we aim to halve by 2030. Our direct greenhouse gas emissions fell by a total of 5% in the past fiscal year with an improvement both in Scope 1 and Scope 2 emissions. The various measures we have implemented in recent years in relation to energy infrastructure and in our energy mix are now having a positive impact on emissions Emission intensity, that is a mission in relation to sales, fell even more significantly by about 15%. Overall, this is a very encouraging development with regard to our emissions and I'm optimistic that we will progress toward our targets in the coming years. As mentioned at the beginning, we also set a record high for regulatory approvals for new varieties this year at 559, this figure has roughly doubled over the past 10 years and is, in my view, a really impressive proof of KWS' R&D productivity. Research and development is the key resource for our future growth. In light of the consistently high number of new registrations in recent years, and we have laid thus a strong foundation for growing our business also going forward. This brings me to our outlook for the new currently running fiscal year 2024/'25. We currently anticipate sales growth of 2% to 4% on a comparable basis, that is excluding currency and portfolio effects. The slower growth momentum compared to previous years is due to the generally subdued agricultural environment and an expected significant decline in our business in Russia as a result of further tightening import restriction and localization efforts for seed production from the Russian government. Without these influences in the Russian business, our sales growth would be rather in the mid-single-digit range. We expect the EBIT margin to be in the range of 14% to 16%, that is at a significantly higher level than 2 to 3 years ago. At the same time, we will maintain our R&D investments at a high level in the range of 18% to 19% of sales. All in all, despite a challenged situation in the agricultural market, we are very optimistic about the new fiscal year, and we want to continue last year's successes. Last but not least, I would like to share with you the personal information as I have decided to pursue my career outside KWS due to personal reasons. I will leave KWS at the end of January 2025. And this has also been announced this morning to the press and the public. With this, I would like to close my presentation. I thank you very much for your attention, and I'm now looking forward to your questions.
Operator: [Operator Instructions] And the first question comes from Andreas Heine, Stifel.
Andreas Heine: Sad that you leave. I'd like to start with that, and thank you for all the good work you have done for KWS over the recent years. And therefore, I would like also to start with a question for the CFO. Actually, I'm -- I need some help for modeling. I have seen how much the debt came down already last year. And I guess a portion of that is that the net working capital of the Brazilian corn business is not part of the group anymore. And I'm not sure whether I do double counting with the proceeds of EUR 500 million, you will book in the first quarter of the current fiscal year. Can you help me, what of these -- how the debt level will progress in the first quarter of this year by -- actually by collecting all these proceeds from the disposal? That's the first question, but I have some more.
Eva Kienle: Yes. Okay. Thank you very much, Mr. Heine, for your kind words. So with the divestment in Brazilian, we had about EUR 200 million of debt that sort of exited the KWS parameter. That was the first sort of down payment, if you want, by the first reduction. And of the remaining debt level, we have just now in September, down paid or repaid from the promissory note, another EUR 143 million. So by that, we are right now down. You will see that in the Q1 reportings, we are very much down overall by about EUR 350 million.
Andreas Heine: Yes, that's what I understood. But looking specifically on what you have -- so the lower debt is, let's say, because of the deconsolidation of the business, right? Because the proceeds of the Latin American business came only in August so after you closed the accounts for last year. So specifically on the LatAm corn disposal in the first quarter of the new fiscal year, what are the moving parts in there? The proceeds are probably not the EUR 500 million because, as you mentioned. So what are the cash proceeds have received on second August?
Eva Kienle: Well, as we mentioned, the profit is about EUR 100 million that will be shown up this year. As -- with regards to the clear cash proceeds, that's a higher number, of course. But of course, there's also withholding and capital gain taxes, et cetera. So it was a number in the ballpark between EUR 200 million and EUR 300 million cash.
Andreas Heine: So in the third quarter after what you mentioned, something between EUR 200 million and EUR 300 million is what we will see then in the balance sheet with the numbers on the 30th of September.
Eva Kienle: Why third quarter?
Andreas Heine: So first quarter of the fiscal year third quarter calendar. So my...
Eva Kienle: You will not find this number because, again, it has been used to repay the loan right now in September.
Andreas Heine: Fair. But if it looks on net debt, I will see that then? So it's something -- so beyond the EUR 143 million is maybe another EUR 100 million, the net debt would come down if everything has been equally...
Eva Kienle: And I think what you have to take into consideration, the Brazilian debt was immediately deducted sort of -- the cash was paid at a net -- sorry, there was a net cash payment because, of course, the loans had to be repaid in Brazil. So the part of the purchase price never exited Brazil.
Andreas Heine: Okay. Helpful. Then the second question is on sugarbeet where you have given an outlook that sales will increase again on the back of the strong offering on Cercospora and CONVISO SMART. Could you describe a little bit what you expect from this market? Because in the last few years, the sugar price was very high, actually on record high levels and came down 25%. And I learned that the sugar refineries are quite some stress and are even loss-making. What does this environment mean for the seed business of KWS?
Eva Kienle: Yes. Thank you for the question. So twofold one, if you look at the world price of sugar and you are right that it has been sort of going down recently, but also in the very recent day and week, it has picked up again. So this is a very volatile curve, if you look at the last 10, 15 years. But actually, if you really draw a line, sort of if you would make the regression of the development, it's an extremely steady almost horizontal line that shows still a slight increase. So there is seasonal ups and downs, yes, of course, which does trigger the behavior -- the short-term behavior next year production plan of the sugar factories. But also if you look irrespective of the sugar price, that is really not so much mattering for the farmers. If you look at the farm level profitability on sugarbeet farmers, that was heavily increasing in the last years, from '22 to 2024, which is an extremely profitable level in 2024 for sugarbeet farmer. So now by capping or by reducing the clear expectations of the sugar factories for sugarbeet intake, yes, they might farm or they might so less sugarbeet but that will not sort of bring them into, let's say, squeeze here. And as we said, the acreage has remained stable in the last years at 4.5 million hectares, and we don't expect that to decline a lot and still, we expect if there would be a small decline. And again, we don't expect the acreage to go down significantly. We will have the price effects and the new varieties that will come on to the market that will overcompensate for this. And on top of this, the Cercospora pressure is extremely high. So everyone underestimated the intensity of spread of Cercospora and I don't know if you travel these days by train and if you really -- there's a lot of sugarbeet plots that you drive by. You can literally see from the train, the brownish -- the leaves. So again here in Europe, in other countries, also, the Cercospora pressure is extremely high, and this is why the farmers definitely will gear towards this new variety with a strong Cercospora resistance.
Andreas Heine: And then I asked the last one, and then I go back to the line. In corn, I just want to clarify, you want to keep the margin flat year-over-year. But the margin of last year -- and I think that's what the benchmark still is included the EUR 28 million. Is that right so that you expect the margin in '24/'25 to be flat despite that you missed this EUR 28 million? Did I get that right?
Eva Kienle: Correct.
Andreas Heine: Then you have to help me why the margin should improve by that much from last year to this year as the environment has probably not improved.
Eva Kienle: Yes. And again, we have -- also we have sort of some smaller mix effect in here in the segment. There's also sunflower in. So sunflower has been a very small portion, but also increased nicely in 2023/'24 and we have AgReliant in. And the performance of this year, we definitely do not expect again for current fiscal year from AgReliant.
Andreas Heine: So it should be better AgReliant.
Eva Kienle: Yes. Oh yes, definitely.
Andreas Heine: Why is that? Because last year, you have seen sales going down 13%, which is clearly more than the acreage decline and so you lost share. And why do you expect to regain?
Eva Kienle: Yes, because we have -- as I mentioned, maybe this was sort of, we believe, not so clear. We have a lot of one-off effects in AgReliant's results. This year, that's about $10 million that will not, of course, come back again. And as we are right now really in the phase of, a, we have a new management. Of course, what they do is they thoroughly look into what needs to be discussed and readjusted for embarking on a new way forward. The clear -- the strategy is clearly laid out. And we have had intensive discussions as again. We are considering on what is our future in AgReliant. So that led to having a clear picture of what can be achieved in the years going forward. And that's why we definitely can expect not that result that we have had in '23/'24.
Operator: The Next question comes from Christian Faitz, Kepler Cheuvreux.
Christian Faitz: Yes. And also, Ms. Kienle, thank you very much for all the great conversations we had over the past several years. I didn't know there were so many top opportunities for a high-caliber person like you in Einbeck. But in any case, all the best for your future. And one question I have, please. In terms of seed production costs, I mean, for the current fiscal year and maybe also for the next fiscal year, given the lower crop commodity prices we have seen across the globe in most crops, would you actually see significantly lower production costs?
Eva Kienle: No, not significantly lower because it depends also on the outcome sort of on the quantity. And right now, we have seen that there is the different sort of different production capacity -- is the wrong expression. The outcome due to weather patterns is also, again, very variable throughout Europe. And that makes, of course, the prices of the production overall go up again.
Operator: So at this point, there are no further questions. [Operator Instructions]. And there is one question coming from Konstantin Wiechert, Baader-Helvea.
Konstantin Wiechert: And all the best also from my side. We have not had the pleasure for so long yet, but anyways, I think, all the best for the future. If I may, regarding that you just finished your bigger Elitespeicher in Einbeck, other CapEx projects down the line that's -- would lead to a higher cash investment in the future? Or is there maybe a potential over the next year also to adjust your capital allocation to maybe a bit steeper dividend increase? That would be my first question.
Eva Kienle: Yes. So we have sort of what we do is we -- those big projects like Elitespeicher, we always look separately. And taking those large projects aside, we definitely want to not go far beyond the EUR 100 million spending. And there's -- right now, there's not a huge bigger project upcoming. We have some more that we are considering further down the line. But so far, they have not been, let's say, given free sort of to be budgeted and planned for. There -- we will see some sort of -- a lot of minor, minor sort of small digit million amount because, of course, we're investing in our sustainability improvements, and there will be a lot of exchanges and refurbishments in office buildings and in warehouses, again, installation of photovoltaic modules, et cetera. So that's where a major part of the investments also is deemed to go in the next years.
Konstantin Wiechert: So rather smaller dividend steps also for the next years?
Eva Kienle: Yes.
Konstantin Wiechert: Okay...
Eva Kienle: You can say so. That is no longer up to me to decide. So yes...
Konstantin Wiechert: Absolutely.
Eva Kienle: But again --- yes, we -- and you know this, we are never going back on what we have already achieved. So I can clearly say that EUR 1 is safe. The steps that will be taken is open.
Konstantin Wiechert: Yes, because I think we are now really at the lower end of your corridor of 20% to 25%.
Eva Kienle: No, no, we are 25%, which is the upper level...
Konstantin Wiechert: For next year, if we would have EUR 1...
Eva Kienle: Yes.
Konstantin Wiechert: Okay. Sorry, then maybe my calculation was wrong. Then maybe on another question on corn and AgReliant. You touched already -- but given that corn prices also came back quite a bit, how do you see price stability in -- especially in North America in your corn portfolio? Is that something where you see more price pressure? Or are you confident that you can keep prices stable? Just some color on this?
Eva Kienle: Yes, so we are not -- we don't have a price issue in the U.S. We do fight with competition on getting to the farm, i.e., we are sort of really fighting about gaining the customer that is not through prices, but that's also a question of trust and product and trust in the salesperson. And as you remember, potentially last year, we have had a lot of churn in our sales organization and the people that left actually took their customers along. So this is something that we have now very clear strategic tasks and broken down to individual sort of targets for the sales guys to really come back with sort of gaining those customers back. So that's the volume matter and not a price problem in the U.S.
Operator: And the next question comes from Axel Herlinghaus, DZ Bank.
Axel Herlinghaus: And special greetings to you, Ms. Kienle. Also, from my side all the best for your future. I would have two questions. I would start with the first one. It's about your expected significant decline in the Russia business. You mentioned, if I'm right, cereal sales to Russia was EUR 22 million in the fiscal year '23/'24. What do you expect is going to be lost from that level in the coming fiscal year? And do you also expect some loss to Russia business in the Sugarbeet segment?
Eva Kienle: So Russia is overall sort of -- yes, very difficult to judge. Clearly, the bigger losses will be in cereals and in corn, because they are self-sufficient in Russia, and they have enough resources in country already to totally block outside imports if they would want to. They work with quotas. So we have been granted quotas for this current calendar year and the quota stand per calendar year that allowed for the very good performance in all segments in our still current -- the last fiscal year '23/'24. So right now, it has been expected the quotas in September. We haven't seen them yet. And this means we are really sort of -- we have not a clue on how much seed in cereals will be allowed to go in now and has to go -- in now or it has to be in the country right now. So what is no longer available locally, we are not sure whether we can get it in. That's why the loss. The expected downturn in cereals is much higher. So it's half -- half the size of turnover of last year, a little lower and -- in Russia only. And sugarbeet in Russia is a different situation because here, they need to rely on imports. So the expected sort of reduction here is on a completely different level. Sugarbeet sales there is at a level of around EUR 80 million, and we expect it to go down, not even by 20%. So that's a completely different game here. Also very sort of spontaneous behavior here. And as I mentioned, those localization practices. It's a daily scrutiny on the Russian government, who is behaving sort of rightly and who will get quotas or not, and we don't know when they will get them. And so far, it's just a guess.
Axel Herlinghaus: Okay. And the last question would be referring to the financial result. So could you at least roughly outline the expected magnitude for the financial results. This year was minus EUR 50 million and which results of AgReliant would be incorporated into that?
Eva Kienle: No, for this year, again, we are not detailing out those EUR 50 million. There is a big chunk of interest that was related to the South American business to the financing. And then there is the AgReliant loss and sort of, again, half of it has already gone through the divestiture, and that should be a good guidance for this year with regards to those 2 topics as of today. Again, if we would change anything in financing or whatever tomorrow, then, of course, you would see different financial results.
Operator: And there is one follow-up question coming from Andreas Heine.
Andreas Heine: Two small ones only. The net earnings haven't increased that much, and you have given the reasons why. So is it fair to assume that next year looks different so the EBIT increase might be rather small, but more substantial increase than on the net income line? That's the first question. And if I may add the second one, in the vegetable business, where you expect higher sales and you say earnings will be negative. Could you quantify this negative? Is it on the same level? And how do you steer financially -- well, it's not you anymore, but how is KWS steering financially this vegetable business? So is there -- let's say, whatever you find as opportunities to R&D is what you go for? Or is that -- do you say the losses of this segment should not get higher than a certain amount of money?
Eva Kienle: Let me start with the first question, net earnings next year, definitely will be higher and also the EBIT. But as of now -- and again, as of now, you have the extraordinary EUR 100 million profit effect from the divestiture in South America. So only with that and then the other parameters on financial results, et cetera, so yes, definitely, you will see an increase here. And on the vegetable piece, sort of we see it like twofold. One, you have the sort of what we call already operating business that is retuning. That's the Pop Vriend's -- from Pop Vriend's business. So this is operationally steered as any one of our other businesses with sales planning per country, portfolio mix, production cost management, et cetera, and tight sort of P&L management resulting in a positive effect. So there is clearly positive results here, that is then reduced by the amortization of purchase price topics. And then the second part is what we call greenfield. That's where we really have a dedicated plan elaborated in our Strategy 2018, saying which countries, which crops. And you know those 5, it's tomato, cucumber, pepper, melon and watermelon. And the main markets or the main countries we are in is Turkey, Spain, Southern Europe and Mexico. So that's where we are clearly following a plan on building -- acquiring land, building greenhouses, recruiting people. There is a budget for that. So the long-term budget to achieve the outcome of very specifically going commercial in those 5 crops in the upcoming years. So that's not like, let's try and give out what we can, but it's also not that we would set a limit in saying we are not going below a loss of XYZ, but we really go for making as fast as possible commercial returns from what we call greenfield approach available.
Operator: So at this point, there are no further questions. I'd like to hand it back to you, Ms. Kienle, for some closing remarks.
Eva Kienle: Yes. Thank you very much, and thank you, all of you, for your participation today. Thank you very much to the colleagues for your questions that are on the spot as always. I'm sad that it's my last time as of the occasion of the results presentation, press conference that I can speak to you today. But as there is a nice German saying you will always meet twice. So I'm looking forward to meeting you the second time somewhere else. Thank you very much.